Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Wheaton Precious Metals 2023 Third Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would like to remind everyone that this call is being recorded on Friday, November 10, 2023 at 11:00 a.m. Eastern Standard Time. I will now turn the call over to Mr. Emma Murray, Senior Vice President of Investor Relations. Please go ahead.
Emma Murray: Thank you, operator. Good morning, ladies and gentlemen, and thank you for participating in today’s call. I am joined today by Randy Smallwood, Wheaton Precious Metals’ President and Chief Executive Officer; Gary Brown, Senior Vice President and Chief Financial Officer; Haytham Hodaly, Senior Vice President, Corporate Development; and Wes Carson, Vice President, Mining Operations. Please note that, for those not currently on the webcast, a slide presentation accompanying this conference call is available in PDF format on the Presentations page of our website. Some of the commentary on today’s call may contain forward-looking statements. And I would direct everyone to review slide 2 of the presentation, which contains important cautionary notes regarding such statements. It should be noted that all figures referred to on today’s call are in U.S. dollars unless otherwise noted. With that, I’d like to turn the call over to Randy Smallwood, our President and Chief Executive Officer.
Randy Smallwood: Thank you, Emma, and good morning, everyone. Thank you for joining us today to discuss Wheaton’s third quarter results of 2023. I am pleased to announce that our portfolio of long-life, low-cost assets delivered another solid quarter, generating strong metal production and robust cash flows, with a number of our assets hitting record quarterly production levels. The importance of having a diversified portfolio of high-quality, low-cost assets was evidenced by Wheaton’s ability to deliver solid operating results, despite operations at Peñasquito being suspended for the entire third quarter. Strong outperformances from Salobo and Constancia resulted in quarter-over-quarter production growth, further highlighting the resilience of our diversified asset base, and delivering on our commitment of continuous growth over the next five years. Our strong quarterly performance was underscored by significant progress at the expansion of our largest asset, Salobo, which is now expected to reach a throughput capacity of 32 million tons per annum in the fourth quarter of 2023. Our growth pipeline of development projects was further derisked in the quarter as Artemis received their Fisheries Act Authorization for the Blackwater Project, which continues to advance on schedule with first gold pour targeted for the second half of 2024. In addition, Aris Mining announced that they have received approval of their environmental management plan, which now permits the development of the Marmato Lower Mine. These projects are among a few of the assets that are forecast to contribute to our impressive organic growth profile of over 40% production growth in the next five years. During this quarter, we are also proud to have been recognized by ESG Investing’s corporate ESG awards, as The Best Company for ESG and Sustainability in The Metals and Mining Sector. Looking to the remainder of 2023 and given that Peñasquito has resumed operations, we are very-pleased to confirm our previously forecasted annual guidance of 660,000 -- between 600,000 to 660,000 gold equivalent ounces, albeit with a slightly higher weighting towards gold. In this high interest rate environment, streaming continues to be one of the most attractive sources of capital, and our corporate development team remains exceptionally busy evaluating opportunities. Subsequent to the quarter-end, we announced the acquisition of a silver stream on Waterton Copper’s Mineral Park Mine for which Haytham will provide an overview on shortly. This latest acquisition is an example of our commitment to enhancing our portfolio with growth that is accretive and sustainable, benefiting all stakeholders. And with that, I’d like to turn the call over to Wes Carson, our Vice President of Operations, who will provide more details on our operating results. Wes?
Wes Carson: Thanks, Randy. Good morning. Overall, it was a strong quarter with production coming in higher than expected, which as Randy highlighted, was driven by strong outperformances at both Salobo and Constancia, partially offset by the temporary suspension at Peñasquito. In the third quarter of 2023, Salobo produced 69,000 ounces of attributable gold, an increase of approximately 56% relative to the third quarter of 2022, driven by higher throughput with production from the third concentrator line commencing at the end of 2022 and higher gold recoveries. In the third quarter of 2023, Salobo reached its highest production level since the fourth quarter of 2019, as the ramp-up of the Salobo III expansion continues to advance and overall improvements at both Salobo I and II continue. The overall Salobo site with the inclusion of the Salobo III expansion is expected to reach a capacity of 32 million tons per annum in the fourth quarter of 2023, and full throughput capacity by the end of 2024. In the third quarter of 2023, Constancia produced 700,000 ounces of attributable silver and 19,000 ounces of attributable gold, an increase of approximately 24% and 164%, respectively, relative to the third quarter of 2022. Record quarterly gold production combined with strong silver production as a result of significantly higher grades from the mining of the high-grade zones of the Pampacancha deposit, higher recoveries and higher throughput. As stated by Hudbay, production is expected to continue to benefit from higher grades in fourth quarter of 2023. Also, in the third quarter of 2023, Peñasquito had no production resulting from the suspension of operations at the mine, which began on June 7, 2023, due to a labor dispute. On October 13, 2023, Newmont reached a definitive agreement to end the strike and has since begun the safe ramp-up of operations. Newmont expects to reach full operating capacity by the end of the fourth quarter. Due to the delay between production and sales, the impact of Peñasquito suspended operations will be reflected in our sales results in the fourth quarter of 2023, resulting in a significant quarter-over-quarter decrease to our reported Peñasquito sales volumes. Wheaton’s estimated attributable production for 2023 is forecast to be approximately 600,000 to 660,000 gold equivalent ounces, unchanged from our previous guidance. For the 5-year period ending in 2027, the Company estimates the average annual production will amount to 810,000 gold equivalent ounces, and for the 10-year period ending in 2032, the Company estimates the average annual production will amount to 850,000 gold equivalent ounces. This includes sector leading organic growth of over 40% with total production from our current portfolio increasing to over 900,000 gold equivalent ounces by the end of 2027. That concludes the operations overview. And with that, I will turn the call over to Gary.
Gary Brown: Thank you, Wes. As described by Wes, production in the third quarter amounted to 155,000 GEOs, a 6% increase relative to the second quarter of 2023, and consistent with the comparable period of the prior year. Worth noting is that in addition to the quarterly record achieved for gold production at Constancia, Zinkgruvan achieved a new record for silver production, which is a stream that has been part of our portfolio since 2004. Relative to Q3 2022, gold production increased 46%, primarily due to outperformances at Salobo and Constancia, partially offset by a 42% decrease in silver production, due primarily to the now resolved labor dispute at Peñasquito and the divestment of the Yauliyacu PMPA, which occurred during 2022. Sales volumes amounted to 119,000 GEOs, a 14% decrease relative to the second quarter of 2023 and a 12% decrease relative to the comparable period of the prior year, with the year-over-year variance being primarily due to relative changes in ounces produced but not yet delivered, or PBND, which reduced sales volumes by 18,000 GEOs, which is simply driven by the timing of shipments. Strong commodity prices, coupled with our solid production base, resulted in revenue of $223 million and a gross margin of $127 million and a total cash margin of $173 million. Of this revenue, 65% was attributable to gold, 32% to silver, 2% to palladium, and 1% to cobalt. As at September 30, 2023, approximately 125,000 GEOs were in PBND and cobalt inventory, representing approximately 2.4 months of payable production, which is a level that is slightly higher than the preceding four quarters, but within our expected range of two to three months. G&A expenses amounted to $9 million for the third quarter, and the Company anticipates that G&A will total $40 million to $42 million for the year. The Company generated $10 million of interest income on its cash balances, $8 million higher than the comparable quarter of the prior year. Adjusted net earnings amounted to $121 million with the $28 million increase from the prior year, due primarily to the higher gross margins and higher interest income. Despite the persistent inflationary environment, Wheaton continued to deliver robust cash operating margins in the second quarter, resulting in cash flow from operations of over $171 million and a quarterly dividend of $0.15 per share, consistent with third quarter of 2022. During the quarter, Wheaton made total upfront cash payments of approximately $90 million towards Artemis’s Blackwater Project, along with dividend payments totaling $67 million. Overall, net cash inflows amounted to $5 million in Q3 2023, resulting in cash and cash equivalents as at September 30th of $834 million. This significant cash balance combined with the fully undrawn $2 billion revolving credit facility and the strength of our forecast at operating cash flows positions the Company exceptionally well to satisfy its funding commitments and provides us with the financial flexibility to acquire additional accretive mineral stream interests. That concludes the financial summary. And with that, I will turn the call over to Haytham.
Haytham Hodaly: Thank you, Gary, and good morning, everyone. As Randy mentioned, the corporate development team remains exceptionally busy evaluating opportunities, and we’re excited to have recently announced the precious metals streaming agreement on Waterton Copper’s Mineral Park Mine, located in Arizona. Mineral Park Mine is a polymetallic mine currently under construction with production expected to reach full capacity in 2026. Attributable production is forecast to average over 690,000 ounces of silver per year for the first five years of production, and over 740,000 ounces of silver per year for the life of mine. In exchange, Wheaton will pay Waterton Copper $115 million in four payments during construction. We are excited to welcome Mineral Park in our portfolio and to be partnering with Waterton Copper who is investing over 600,000,000 at Mineral Park, which they expect to result in decades of operational excellence at the mine. With that, I will pass it back to Randy.
Randy Smallwood: Thank you, Haytham. In summary, Wheaton’s third quarter was distinguished by several key highlights. We achieved solid three month revenue, earnings and cash flow, and declared a $0.15 quarterly dividend. We maintained our previously announced annual guidance of 600,000 to 660,000 gold equivalent ounces, bolstered by significant quarter-over-quarter production growth. Our pipeline of development projects was further derisked, supporting our impressive organic growth profile of over 40% in the next five years, and we continue to our asset base, welcoming the Mineral Park Mine into our portfolio. Our balance sheet remains one of the strongest in the industry, providing ample capacity to add accretive, high-quality streams into our portfolio. And lastly, we continue to demonstrate leadership and sustainability with sector-leading ESG ratings and external recognition. So, with that, I would like to open up the call for questions, operator.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Cosmos Chiu of CIBC. Please go ahead.
Operator: We have momentarily lost Cosmos. [Operator Instructions] In the meantime, we will go to our next question from the line of Richard Hatch of Berenberg. Please go ahead.
Richard Hatch: Just a few questions. Gary, I appreciate the PBND is a difficult one to forecast. But can you help us just a little bit with whether you expect to see Q4 -- some of that gold release in Q4? That’s the first one.
Gary Brown: Yes. The buildup primarily came from Salobo during the quarter as they are ramping up the third line here. And so, we would expect that that would come down in Q4. I would say though that the 2.4 months average production that sits in PBND right now is not anomalous for us. It’s really -- you look at what happened over the quarter, we had a 23,000 ounce gold equivalent ounce build up in PBND over the quarter, as compared to 5,000 ounce build up in Q3 of 2022. So, the difference there results in a reduction in sales year-over-year of about 18,000 ounces, which again is simply driven by the timing of shipments.
Richard Hatch: Okay, understood. Thanks. Second one is just on Salobo. We’ve finally cut that base metals’ guidance recently. There is a technical report out there on Salobo, which I guess a few of us have been kind of using as a rule of thumb for what that asset could be. Are you able just to sort of give us any kind of stare or flavor as to what you are thinking into ‘24, just on that one just because it’s so important to the sort of the broader piece? Thanks.
Randy Smallwood: Richard, it’s Randy. I’ll pipe in here and then let Wes, add any finishing statements. They’ve had great success in terms of ramping up that line III expansion. And as we said in the opening statements there, they’re going to reach their 32 million ton per annum average this year. And they’re rolling through it. We’re actually -- we just had -- Wes was down on site and was very impressed with everything that we saw in terms of what’s going on down there. And so, we fully expect that they’re going to continue that ramp-up through the course of 2024 and expect that by the end of the year they’ll be satisfying the second phase of the expansion payment, which is 35 million tons per annum.  The design capacity of that current system right now, line I, II -- line -- or line I and II and now line III is 36 million tons per annum. So, I would expect by the end of the next year they’re going to be at a run rate very close to that. So, I don’t know, Wes, if you can add anything to that?
Wes Carson: Yes. I’d just say, I mean, we had a team, myself included down on site two weeks ago and just look looking at what was going on with the ramp-up there and really getting confidence in how quickly things were ramping up. And I’ll say that, I mean, we’ve seen a steady improvement there over the last 18 months. I mean, as there we had some challenges there last year with maintenance and just getting things kind of going. And it’s been a significant improvement over the last 18 months and that’s really continued kind of through this quarter for sure as well. And I think we’ll see that continued through next year. And as Randy said, and hitting that kind of 35 million ton by the next year, I think is a very viable goal for them to get to. So it’s been very impressive to see just the focus the team has had down there and really on working this through and making the improvements they needed to both get Salobo I and II kind of back in line and also that ramp-up and really on Salobo III has been I would say, I mean world class and how quickly they’ve managed to get that going.
Richard Hatch: Okay. Got you. Thanks. And then, sorry, just last couple. First one, I’ll just stroll down in Portugal, I guess the guide there is just zero until Q2 ‘25, right?
Wes Carson: Yes. That’s what we’re looking at right now. Yes, they’ve switched over fully to the copper ore mining there, but they are looking at getting back into the zinc in Q2 ‘25.
Richard Hatch: Okay, cool. And then the last one, I mean just if I look at the growth profile, I mean, you spent last few years kind of just doggedly sort of adding nice streams that sort of pad out the midterm. I mean, as I look at it, it seems like you are going to be producing well over 900,000 ounces gold equivalent, if these sort of all come on line and over the next few years. I mean, is that in line with your thinking? I appreciate your guidance. It’s sort 850 on a 10-year average, but you’ve had a few years where Salobo has been underperforming a bit. But is that plus-900 still something you are comfortable with? Because it just sort of feels that there’s a lot of growth in this stock but isn’t being appreciated by the market.
Wes Carson: Yes. I mean, I hate to say it. Sometimes it’s quite misleading in terms of doing the average, because the average of course counts this year down in the 600s. And so, for us to get to that kind of an average, we will be over 900,000 ounces gold equivalent production by 2027. And I’d tell you, with the work that Haytham’s doing and what the whole team’s doing on the corporate development front, but Haytham’s teams leading that, I’m confident that we’ll even have a few more acquisitions that’ll be adding towards that over the next couple of years. And so, I am incredibly confident. I think one of the things that’s important to highlight is the bulk of that growth is actually coming from assets that are already operating in our portfolio, truly organic growth, not greenfield’s development stuff. And so, to have that amount of growth already coming from assets that are in production just gives us all a higher confidence level in terms of getting there. And so, Richard, we’re at the point of taking Wheaton to a level never seen by any streaming or royalty company in terms of precious metals production. And it’s pretty exciting times. 
Operator: Our next question comes from the line of Cosmos Chiu of CIBC. Please go ahead. We have just lost Cosmos Chiu again. [Operator Instructions] In the meantime, we’ll go to our next question from the line of Tanya Jakusconek of Scotiabank. Please go ahead.
Tanya Jakusconek: I have a couple, if I could. I’m going to start with just on the guidance for this year so that I just want to make sure that our model is correct. You are maintaining guidance, and I’m just looking at the guidance and we’re just slightly below the lower end of your 600,000 GEOs. So can I just get some guidance for where you think you will be on the gold side? You said more gold exposure. Should I be thinking you would be at the upper end of that 350 range?
Randy Smallwood: Well, we’re definitely going to outperform on the gold side. As we’ve seen, we’ve seen Constancia doing very well with the Pampacancha zone setting record gold production out of that asset, like significantly record production. But I think what is important to sort of highlight is how well Salobo is doing. As we mentioned, we’re very close to them satisfying the first phase of this expansion payment, which means that they have to run at 32 million tons per annum. And they have to do that for 90 days, which means -- I mean, they’re already running at those levels because to satisfy that average over a 90-day period that would mean that they have to exceed it at a certain point for a good portion of that 90-day period. And so, we’re really impressed with what we’ve seen on the Vale base metal side in terms of taking Salobo and bringing it back up to where it spent most of its life. The first seven years of our streaming agreements on Salobo, it was always an outperformer. And we think, it’s well on its way to becoming an outperformer again. So, there’s no doubt that the gold is going to be to the high end of that guidance at the cost of silver, obviously, from Peñasquito and might even wind up pushing a bit over. We’re very comfortable with where we see our guidance. And so, it sounds like we’re a little bit more optimistic than you are, Tanya.
Tanya Jakusconek: I always take the conservative side, but thank you. Just on Peñasquito, just to make sure, are you expecting any contribution in Q4? We have nothing in Q4. And that’s again, from a ramp-up and then who knows what is shipped out. So, we’ve assumed nothing, but have you assumed something for Q4?
Randy Smallwood: We don’t -- on the sales side, unlikely. We don’t think there’s going to be anything on the sales side. And so, obviously, production will be ramping up. We’ll have something through that, but our approach has been zero on Peñasquito on the sales side.
Tanya Jakusconek: Well, at least we’re the same on that one, Randy. Okay. I appreciate the color on that. And then, my second question, if I could, I have three, so maybe to Haytham, if I could just on Mineral Park, and looking at that transaction and when you were thinking about it, what internal rate of return -- and you can use whatever silver price you want, but what internal rate of return did this asset generate for you that you thought was well -- good enough for you to do? It’s just it’s had a bit of a checkered history.
Haytham Hodaly: Sure. So if you look at it based on the current mine life, the current reserve life of 12 years, which is currently permitted for, keep in mind, we think it’s actually going to be much, much more than that. Our analysis shows that it’s low double-digit returns on this.
Tanya Jakusconek: Okay. Silver price of?
Haytham Hodaly: Spot price at the time of announcement.
Tanya Jakusconek: Okay. I appreciate it. I just want to benchmark, and..
Haytham Hodaly: One of the things to keep in mind there, Tanya, is that, as you mentioned, it’s had a bit of a checkered history. But with the reinvestment that Waterton Copper has put in terms of the expanded capacity on the milling side, one of the challenges that deposit has had is over time as it got deeper, the rock was just getting harder and harder. And existing milling setup just wasn’t sufficient for it to operate. And the investment that we’ve seen Waterton put into it, we think is truly setting it up for long-term prosperity. It’s a game-changer on this asset in terms of that capacity on the front end of the mill. And as you know, we are already familiar with the orebody itself, but the challenges in the path, I think really related to a dated infrastructure, dated mill setup that just wasn’t capable of dealing with the changes in the orebody. The new investments, I can tell you, our team, our metallurgical team went down and had a look at, we’re very impressed what we see coming out of that asset. So we are excited about it.
Randy Smallwood: Originally, the mill was designed for 35,000 short tons a day, Tanya. They are trying to flip through 50,000 short tons per day of very, very hard material. So now, with the reinvestment of up to $600 million in total by the time all is said and done, this will easily get to 50,000 tons a day. And this is a company now that has no debt and is planning on advancing project very, very aggressively. So we are very excited about this one.
Operator: Our next question comes from the line of Cosmos Chiu of CIBC. Please go ahead.
Cosmos Chiu: Hello. Can you hear me at this time?
Randy Smallwood: We can. Apologies…
Cosmos Chiu: Clearly, Randy doesn’t like me, or is it Gary that doesn’t like me? Or someone doesn’t like me?
Randy Smallwood: Hey. We just cut off Tanya, too.
Cosmos Chiu: You should cut her off.
Randy Smallwood: Apologies, everyone. The service is not working.
Cosmos Chiu: But maybe, if we can start off on Salobo. You’ve talked a bit about the expansion already. But could you maybe talk about what that means to Wheaton Precious Metals and the production profile? Are we going to continue to see the number to Wheaton Precious Metals continue to increase? Is it going to be a straight line sort of increase into 2024 as they reach full capacity? But then again, Q3 was slightly less than Q2. So, how should we model it from your perspective?
Randy Smallwood: I mean, it’s tough to expand beyond where we’ve already described. I mean, we see it climbing up to 35 million tons per annum average next year, satisfying the Phase 2 of the expansion test. The capacity is 36 million tons per annum for what’s built there right now, currently. And again, I go back to the -- everyone should keep in mind the history of Salobo. It definitely has had a couple of tough years. But we signed that initial contract back in 2013 and we had seven, eight years of outperformance in terms of higher than design capacity. So, with the team that’s in there they -- the spirited, motivated team that we see on the site right now in terms of moving this forward, the management team at Vale Base Metals is -- it’s just, there’s -- we’ve just seen a real change in the approach there, and there’s a huge -- there’s a very, very strong desire to outperform. And so, it wouldn’t surprise me at all to ultimately, two years out, see them exceeding over 36 million tons per annum. There’s long been discussion about a Phase 4 expansion, the possibility of it. They’re still exploring that concept. That’s of course multi-years out. But what we have is Vale Base Metals, as it’s getting more of an individual presence in itself, focusing on its flagship. And of course, its flagship is our flagship. So, we’re going to reap the benefits -- we and our shareholders are going to reap the benefits of that focus. And so, we’re really excited about where Salobo stands right now.
Gary Brown: Sorry. Cosmos, just want to respond to your point about it. Q3 being lower than Q2, I think you’re talking about sales there. Production was significantly higher and the reason sales were down was because there was over a 20,000 ounce buildup of PBND during Q3 2023. So, if that hadn’t happened, sales would’ve been significantly higher as well.
Cosmos Chiu: Of course. Yes. I was just trying to ask about the -- I guess, you did 69,000 ounces, Gary, as you mentioned in Q3. Is that going to continue to increase? You did 43,000 in Q1, 54,000 in Q2, 69,000 ounces in Q3. Are we going to see that continue to increase, at least to your accounts as the expansion continues? I was trying to link the 35 million ton per annum expansion back to what we could expect for WPM.
Randy Smallwood: Yes. It goes without saying. As the throughput increases and they fine tune, not only are we seeing the enhanced throughput, we’re also seeing better recoveries than we’ve seen in a very long time. And so, the combination of those two is just aligning up to be as I said, an exciting time.
Gary Brown: It does start to level off at some point here. So, I mean, we are seeing that increase as we go through the quarters here, and we are getting close to kind of that -- kind of 32 million that we’re expecting, and we’ll see it continue to increase next year with the throughput. But at some point here, it does -- the growth that we’ve seen in the last three quarters does start to level off at some point.
Cosmos Chiu: Okay. That’s what I wanted to get to. And then, in term of the payment, as we all understand, you need to make a payment for the expansion. If I look at your MD&A, the other obligations and contingency section, you got 370 million earmarked for 2023, 163 million earmarked for 2024, 2025 for this payment. I don’t think you’ve made that payment yet. And if that’s the case, I know it’s based on the matrix, it’s based on maximum of 552 million, if they reach 35 million by January 1, 2024. I guess what I’m trying to get to is, when should we expect that payment to be made?
Randy Smallwood: Yes, we’ll -- we expect, I mean, they’re not quite there yet, but they should be there within a very short period of time. We expect to be making the first phase payments and in the fourth quarter of this year. So, that’s the 370 million. With respect to the second phase, we hope we’ll be making it sometime next year. That’s definitely the objective of Vale. And they’re definitely on track. We don’t see why that shouldn’t happen. And so, we would hope that that 35 million ton per annum payment would be triggered next year.
Cosmos Chiu: And then, maybe on the Peñasquito, you mentioned that Q4 sales is going to be less than -- going to cut decrease due to the strike that ended in October. Could you remind me again in terms of the timing, like, are we going to see -- is the impact of the strike to continue again to Wheaton Precious Metals accounts into Q1 2024, or should Q1 2024 be fairly normalized by then?
Randy Smallwood: So production should definitely be up to full levels by the end of this year. Sales, there may still be a residual. As mentioned earlier, we don’t see any sales from Peñasquito in Q4. If we get some at the end of the year -- I mean, it’s always interesting in Q4 because every one of our partners tends to try and squeeze a bit of extra out of the system and as we say, squeeze the pipeline. And as has been clear in these Q3 results, our pipeline is a little bit full right now. We do have -- although, it’s not out of normal, but we do have a lot of produced but not yet delivered. And so, we’d expect to see a bit of a bump on the sales side during Q4, but I -- unlikely to see anything out of Peñasquito. There may still be a residual slowdown, because it is going to be a gradual ramp-up. And then with the time it takes to get to the sales stage, we may see a little bit of a residual effect on sales in Q1 of next year, but we’ll definitely have better guidance for you at the end of the fourth quarter from that perspective.
Cosmos Chiu: And then maybe one last question, broader scale, as you mentioned, very good growth, sector leading growth for the Company. You mentioned 810,000 ounces GEOs for the five years ending 2027 on average, 850,000 ounces for the 10 years ending 2032 for the 10-year average. But then you also mentioned that you’re going to give us an update in Q1 2024, updated sort of longer term numbers. I guess, you can’t really tell us details at this point in time, but more broadly, given that you’ve made some additions to portfolio, like should the direction of these longer term numbers trend up or am I mistaken?
Randy Smallwood: We definitely have added some assets. And so, I mean, we determined a long time ago to just maintain our long-term guidance come out at the start of the year and not adjust that as we add assets over the course of the year. I wouldn’t say there’s going to be significant growth. What I think we’re doing is building good longer term structure, some of the assets we’ve built or that we’ve added we’re hopeful we’ll come in and we’re sort of waiting for further clarity in terms of timing as they come forward. And so, we’re definitely going in the right direction and -- but it’d be tough to sort of give you a firmer guidance for something that -- we sit down every -- during the first quarter, the first couple of months of the new year and have a really good look at all of our production visits and stuff like that, keep you in mind -- or just to remind you, Cosmos, I mean, our production forecasts, we do it based on our site visits and our read through in terms of how the operations are going. And so, it is something that we take very seriously in terms of putting the time into. So I don’t want to preempt that effort in terms of pushing forward. What I can assure you is that we will be up over 900,000 ounces a year of production by 2027. And we’ve got path that keeps us well up into that range. And I think on a track towards a 1 million gold equivalent ounces of production, shortly thereafter. It may not even -- may even be at that time. But, stay tuned. We will give you further clarity in the first quarter, as we always do.
Cosmos Chiu: Of course. That’s great to hear. Thanks once again, Randy, Gary, Haytham and Wes and Emma. Congrats on a very strong quarter and have a good weekend.
Randy Smallwood: Cosmos, apologies again for the technical issues here, and hopefully, we can get Tanya back on again. Don’t take it personally. Hello, Tanya?
Operator: Okay. Tanya, please go ahead. Your line is now open.
Tanya Jakusconek: Okay. Operator, I have two questions, so please don’t cut me off. Must be very specific here, in case there is a pause and I get cut off. But appreciate you taking some my questions yet again. So, I just wanted to come back to just Haytham on M&A, and then I have one for Gary on the global minimum tax in Cayman. So just on that M&A, Haytham, if I could just ask, I’ve seen some of the peers increasing exposure to existing assets, albeit it has been in royalty form. But I am just wondering when you look at your own assets internally in your stream, are there anything that I should think about, whether you could see increased exposure within your portfolio, like upping some of these streams in the portfolio? Is that an option as well?
Haytham Hodaly: We are always considering that, Tanya. But I would say the majority of the stuff that we are looking at in terms of growth going forward are our new opportunities. We’ve seen an influx of new opportunities just within the last few months, obviously, with the equity markets tightened, the debt markets overpriced. Streaming tends to be one of the lowest cost capital type of funding opportunities. So, we are mostly focused on relative really small -- when I say small, it’s anywhere between, call it 100 to 300. But there are still some chunky ones out there, and we hope to get some of these things across the line here in the next a little while. So focus remains on precious metals, obviously.
Tanya Jakusconek: Yes. And is that -- when you say chunky, are those the ones from $500 million to $1 billion, those types?
Haytham Hodaly: You know what? We -- I would say they are $400-million-plus.
Tanya Jakusconek: Okay. I appreciate that. And lastly, on the development -- funding for development projects, was that -- you want me to calculate?
Haytham Hodaly: That’s right. The majority are development stage opportunities, but, some of them are quite advanced, so.
Tanya Jakusconek: Okay. Thank you for that. And then if I could, for Gary, just on the global minimum tax, we did see your competitor in Barbados. Barbados had made some comments on what they are doing in terms of the global minimum tax. Just wondering if you have any update for us in terms of anything from Cayman, and anything of your insights into the global minimum tax?
Gary Brown: Cayman has not proposed adopting global minimum tax. So it’s still Canada that is the jurisdiction that we are looking to govern how GMT will impact us. So there is really no change on that front. We are still assuming that the draft legislation will be adopted and approved by the Canadian government here for effect January 1st of next year. And we’re totally prepared internally for that to happen. But there’s a lot of work I think that still needs to be done from the government side to get that across the line. So, if it does get pushed out, that would just be a benefit, I think.
Tanya Jakusconek: Okay. No, I’m just interested if Cayman had done anything. At the end of the day, Gary, we all know that the taxes are going up, it’s just who takes it, is it Cayman or Canada, right? That’s the bottom line. It doesn’t really matter from your perspective, it’s 15% on any of the assets that were with the contract placed in the Cayman. So it doesn’t matter. It’s just wondering if Cayman had said anything, and looks like they haven’t. So either way -- getting 15%. I appreciate it.
Gary Brown: Agreed. Thanks.
Operator: Last question comes from the line of John Tumazos of John Tumazos Very Independent Research. Please go ahead.
John Tumazos: Good morning. Thank you. I have three follow-up questions on Mineral Park. And congratulations, Arizona’s a nicer place than Panama or Ecuador, some other places. First, is the capital budget 600 or 600 plus your 115?
Gary Brown: The total is 600, John.
John Tumazos: 600. Could you break down a little bit the $600 million budget? There had been a mine build and operating 13, 14 years ago. Was there stripping that was let go at the end, or equipment that was sold off in the bankruptcy? I know there was lots of equipment that was installed that didn’t work. The poor guy had like, at least five mill motors that didn’t work on original installation, a lot of bad luck. I have a car battery getting fixed at 3:00 o’clock. It didn’t work when they put it in as well. Then finally, has Waterton Copper produced anything before? And maybe does that mean that if Cosmos or Tanya or I started a project, we could bring it to Wheaton for a stream too?
Randy Smallwood: So, maybe I’ll take your last question and -- since I’ve answered the first question, I’ll take the last question first. Last question, have they produced -- they’ve actually got a pretty incredible technical team. Their objective in the past has been to pick up projects that have been somewhat starved for capital, ramp them up and sell them. So they have produced on small scale projects that they’ve tried to sell off. Specifically, on Mineral Park, there actually is an actual SSEW [ph] operation that’s actually producing there right now. So they have been producing for a few months, quite a few months at this point. In terms of your second question, in terms of capital cost, John, they have put in I think close to -- about $160 million since they acquired it. And so, in total, I think what’s remaining is about 200 and I would say -- let’s say 260 plus a contingency, plus a management reserves, probably somewhere around $330 million in total CapEx left to go. So all in total, by the time -- since they acquired it, they will have spent close to $600 million on it, of which roughly I would say half has been spent. 
John Tumazos: I’m sorry, I believe that dollars are going out the door, but like is it stripping or they ripping out old equipment and putting in new equipment, or are they merely adding 15,000 tons a day of additional grinding and flotation capacity?
Randy Smallwood: Well, the big chunk of it is that just that the crushing and grinding is about $70 million to $75 million; the flotation and the control, modernization, et cetera, is about another $75 million; indirects, excluding EPCM is about another $60-plus-million. So those are the big factors, big chunks there, John.
Operator: Ladies and gentlemen, this concludes the Q&A portion of today’s conference call.
Gary Brown: Randy had to run to a meeting. So, I’d just like to thank everyone for participating. And as you can see, we are taking the Company to a level not seen before in the royalty and streaming space. And believe it has never been a better time to own more Wheaton. We look forward to speaking with you all again soon, and thank you.
Operator: This concludes this conference call for today. Thank you for participating. Participants, please disconnect your lines.